Operator: Greetings and welcome to the CorEnergy First Quarter Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Rachel Stroer, Investor Relations for CorEnergy. Thank you, ma'am. You may now begin.
Rachel Stroer: Thank you and welcome to the CorEnergy Infrastructure Trust first quarter 2013 earnings call. I’m joined today by CorEnergy’s Chairman Rick Green; CEO and President, David Schulte; and Treasurer and Chief Accounting Officer, Becky Sandring. An audio replay of our conference call and information included in our press release issued Friday as well as the presentation materials for this call are available at corenergy.corridortrust.com We would like to remind you that statements made during the course of this presentation that are not purely historical may be forward-looking statements regarding CorEnergy’s or management’s intentions, estimates, projections, assumptions, beliefs, expectations and strategies for the future. All such forward-looking statements are intended to be subject to the safe harbor protection available under applicable securities law. Because such statements deal with future events, they are subject to various risks and uncertainties and actual outcomes and results might differ materially from those projected in the forward-looking statements. Important factors that could cause actual results to differ materially from those in the forward looking statements are discussed in our filings with the SEC. These documents can be accessed through the investor relations section of our website. We do not update our forward-looking statements. At this time, I will turn the call over to CorEnergy President and CEO, David Schulte.
David J. Schulte: Thanks, Rachel. CorEnergy is on track in our strategy to build a diversified energy infrastructure trust owning high quality assets with reliable long term cash flows such as those depicted on our cover side. We use the REIT structure, which has many benefits to our stockholders. It provides transparency to the underlying asset cash flows on a tax efficient basis, provides an investor friendly Form 1099, and can be owned by individuals, institutions, and even foreign investors who do not want to or cannot own U.S. partnerships, private equity funds or even closed-end funds. With the transformation of CorEnergy’s strategy, we believe we’ve cracked the code on accessing the U.S. energy infrastructure sector through a publicly listed REIT. Let’s go to Slide 3, our asset acquisition and ownership criteria are founded on the operating fundamentals of the infrastructure asset class. We own assets which are long lived and critical to the operating companies we partner with, provide recurring revenues in our case mostly based on contracted rents from triple-net leases, have relatively stable demand for the availability of those assets over the long term and relatively high barriers to entry. By adhering to these criteria and our ownership of infrastructure assets, we believe CorEnergy is capable of providing a vehicle with the investment characteristics that are desirable in the infrastructure portion of investor portfolios. Those attributes have been recognized by significant pension funds both in the U.S. and globally and include stable cash flows as the primary source of return, an attractive risk adjusted total return, low correlation with other assets in your portfolios and inflation protection through some growth potential in the cash flows. We obtain growth potential primarily from participating features and inflation escalators in our long term leases, which can result in increased revenue over time. We set our dividend target for 2013 to total not less than $0.50 per share and declared that higher dividend in Q1 following our acquisition in December. Long term targets include annualized total return of 8% to 10% on assets we acquire and possible distribution growth of 1% to 3% to provide some protection from inflation. Our goal in 2013 is to continue to grow shareholder value by making accretive acquisitions of energy infrastructure real property which is leased to strong operating companies and provide long-term contracted cash flows supporting our dividend, stability with modest long-term growth prospects. Slide 4 provides a summary of the U.S. market opportunity for CorEnergy to build size, scale and shareholder value. We serve both utility and energy markets, markets which are large, fragmented and in need of additional sources of capital. Oil and gas production in the U.S. are rising due to advanced technologies being applied to unconventional reservoirs. The charts shown here specifically highlight the outlook for natural gas. Demand for clean burning gas is being met by new found reserves. As natural gas volumes increase, E&P companies are executing transformational growth strategies requiring capital and infrastructure connectivity. We believe our lease-based financing is complementary to these companies and sensitive to their operational needs. Our affiliate Tortoise Capital now manages nearly $12 billion of debt and equity investment across the entire energy value chain, with an emphasis on the midstream sector but also having allocations in E&P and utilities. Today, there are about 120 publicly listed U.S. E&P companies ranging in market cap from about $100 million to over $400 billion and with a combined market capitalization of approximately $1.3 trillion. Not included in this count are hundreds of privately held U.S. E&P and foreign based companies holding U.S. assets. Many of these companies have assets that follow our sweet spot, REIT qualifying pipeline, storage and electrical power assets directly supporting their operations, but which they prefer not to lose operational control of them. Since our Pinedale LGS acquisition in December, we have seen an increase in the E&P business development opportunities. The assets we are investing in or investigating are much like the Pinedale LGS but they do not present an opportunity for strategic expansion by either the operating company or by a third party acquirer such as an MLP. For these types of assets, long term lease base financing is a better option for capital formation than raising more dilutive equity or taking on additional funded debt. Moving to Slide 5, your senior management team is actively working on the acquisition of additional assets, creating the kind of accretive deal we want with potential for growing income from the asset, involve developing a long term lease agreement customized to the needs of each operator. We believe our processes will result in strong partnerships with each tenant, which we expect to last for a very long time. In order to properly evaluate risk and foster healthy long term commercial relationships with our tenants, we’ve added new members to our management team in the quarter. We added two new senior directors, Jeff Fulmer and Mike Jonagan, who primarily will be responsible for business development and ongoing oversight of our long term contractual relationships. In addition, Rick Kreul has joined our team as President of Omega Pipeline Company. Rick actually managed the construction of the Omega Pipeline 20 years ago and now will be responsible for the day-to-day operations of Mowood and for exploring opportunities to grow that business and its assets in alignment with our infrastructure strategy, some of which can best be conducted through a taxable subsidiary of CorEnergy. All three of these leaders are engineers each with over 25 years of experience managing, developing and acquiring electric and oil and gas assets both regulated and unregulated. They have worked with Rick, Becky and me in the past and they possess the expertise needed to reduce risk throughout our processes and oversee our growing portfolio of energy infrastructure assets. Turning now to Slide 6, in December, the Pinedale Liquids Gathering System or LGS became our largest asset and solidified our REIT-qualified status going into 2013. Let’s look at our three REIT related assets starting with the Pinedale LGS. Our revenue from Pinedale comes from our long-term lease to Ultra Petroleum Corp., a high-quality operating partner and one of the leading producers in the Pinedale natural gas field. The lease provides a minimum annual rent of $20 million with growth potential beginning in 2014 from either participation in volume growth or an escalator based on inflation. Ultra Petroleum is a publicly traded company and we refer you to their public reports for confirmation on the strategic importance of the Pinedale Anticline to the present and future operations. Now Ultra was able to obtain $225 million of capital to redeploy in value enhancing CapEx without raising new debt or equity in our transaction. At the time of the transaction, their CFO said, the CorEnergy solution satisfies strategic objectives for Ultra Petroleum. We, Ultra, maintain operational control over the LGS, while freeing up internal capital for growth which will in turn create additional value for our shareholders. We think that’s an excellent example of where there is additional business to be had for CorEnergy. Our wholly-owned subsidiary Mowood is the holding company of Omega Pipeline and is performing on plan. The pipeline assets Mowood holds are REIT qualified real property, and its operations are consistent with the risk profile of the infrastructure asset class. Our inter-company loan from CorEnergy to Mowood represents a REIT-qualifying asset for CorEnergy, and as a case study for how we can provide financing to other utility assets, we are exploring growth opportunities from Mowood and this is why Rick Kreul joined our team. The Eastern Interconnect Project is a corridor of electric transmission assets in Eastern New Mexico. The property is leased to public service company in New Mexico. This lease has a fair value termination provision designed to share the risks and opportunities of long term ownership between the owner, us and the tenant providing another example of the type of contract that provides long term exposure to the fundamentals of the energy sector. These three assets represent the low risk nature of the kind of assets and contracts we continue to seek out. On to Slide 7, we’ve historically provided a quarterly update on our privately held securities as well, Lightfoot Capital Partners and VantaCore Partners LP. We will continue to report fair value for these securities in the 10-Q. However, today they represent less than 10% of our total assets. These two companies have been performing well and we believe the management teams are strong and capable of continued growth. We also believe the operations of each company are consistent with the types of assets that fit well within the infrastructure asset class. That’s our update on the energy infrastructure REIT-strategy and our properties, I’d like to turn it over to Becky Sandring for an overview of our financial results.
Rebecca M. Sandring: Thanks, Dave. On Friday, we filed our 10-Q and issued a press release highlighting our financial results. We have prepared our earnings release, 10-Q and slides for this call with metrics that we think will be helpful to you in tracking CorEnergy’s performance going forward and we welcome your feedback. The 10-Q reports of CorEnergy’s financial results both for the one month transition period ended December 2012 and for the fiscal quarter ended March 31, 2013. The one month transition period is a result of our change in fiscal year from November 30 to December 31. The financial information presented in the 10-Q as well as our most recently filed 10-K should be considered in their entirety. The first three months of 2013 mark our first quarter meeting the REIT-asset class test with over 75% of our assets qualifying. First quarter revenue of $8.1 million reflects $5.6 million or approximately 69% from rents on REIT-qualified assets. As we look at Slide 8, you can see that during the quarter ended March 31, 2013 we’ve reported net income attributable to common shareholders of $2.4 million or $0.10 per common share. CorEnergy provides non-GAAP performance measures utilized by REITs, including Funds from Operations (FFO) and Adjusted Funds from Operations (AFFO). FFO was approximately $3.5 million or $0.144 per share in the first quarter, and AFFO was approximately $3.1 million or $0.13 per share. These measures are after payments made to our non-controlling interest, so are applicable to our common shareholders. Management uses AFFO as a measure of long-term sustainable operating performance. Our first quarter dividend of $0.125 per share was paid on March 19, 2013 to shareholders of record on March 8. Looking at Slide 9, we have highlighted the changes in total assets since our acquisition of the Pinedale LGS. You can see the impact of the acquisition as we review total assets on the balance sheet over three dates. At November 30, 2012 total assets were $111.4 million as of December 31. Following the acquisition and financing of the Pinedale LGS, assets increased to $293.7 million. At March 31, 2013 assets were $289.6 million. The asset acquisition is also reflected on the balance sheet in the debt and equity section. Long-term debt increased to $70 million, the equity section provides both the increase in CorEnergy equity and the contribution from our partners at Prudential Capital Group and the non-controlling interest line item on the balance sheet. The CorEnergy stockholders’ equity grown from $98.8 million at November 30, 2012, to $180.3 million as of March 31, 2013; as of March 31, the non-controlling interest held by Prudential was $30.4 million. Slide 9 also illustrates the change in composition of the portfolio delineated into REIT-qualifying assets shown in blue and non-REIT qualifying assets shown in gold cones. At the end of Q1, 75% of our assets for REIT-qualifying allowing us to pass the quarterly REIT test. You can see that the majority of our portfolio is the REIT-qualifying Pinedale LGS and the Eastern Interconnect Project asset. The remaining private securities and wholly-owned Mowood, LLC are held in wholly-owned taxable REIT subsidiaries. The remaining publically traded MLP securities were liquidated during the first quarter. As we work towards our next potential transaction, CorEnergy’s liquidity and capital resources are as follows. We have approximately $18 million in cash, subsequent to the quarter end we put in place a $20 million revolving line of credit that could be used for future acquisitions. We have a shelf evidence registration in place, and believe there is opportunity for co-investments with partners like Prudential. Our balance sheet leverage target is in the 25% to 50% range and thus we have additional availability for debt financing. With that overview, I will turn it back to Dave.
David J. Schulte: Thanks, Becky. The market has responded favorably to our December 2012 transaction and our energy infrastructure REIT strategy. From the conversations we've had with investors, we believe people appreciate the REIT structure as one way to access with stable and growing cash flow investment characteristics of U.S. energy infrastructure. As you will see in Slide 10, our enterprise value is now approximately $285 million, and we believe that we’re well positioned to fund the continued diversification of our portfolio of energy infrastructure assets. The dividend yield of our company as of April 30 stood at about 6.5%, double that of the 3.11% yield on the NAREIT Equity REIT Index and the 3.62% yield on the Dow Jones Utility Average Index and still greater than the 4% yield on the S&P Global Infrastructure Index. And these benchmark dividend yields include growth expectations but given the risk characteristics of the contracted cash flows from energy infrastructure, we think our stock represents a very attractive risk-adjusted return possibility for investors. Operator, we’d now like to go to Q&A. And you can explain procedure for people to lay in the questions.
Operator: Thank you. (Operator Instructions) Our first question comes from the line of Craig Mailman with KeyBanc Capital Markets. Please proceed with your question.
Craig Mailman – KeyBanc Capital Markets : Good afternoon. Just on the potential pipeline here, I know in the press release you said looking at a few possibilities between 50 million and 200 million and they are in the preliminary stages. Just curious what’s the size of the total pipeline that you guys are now looking at and given that we are almost half way point in the year here, what’s the possibility of closing another substantial asset here before the end of the year?
David J. Schulte: I would say the front-end of our pipeline has grown dramatically during the quarter, but we still have a handful of acquisition opportunities that are in that range that were in the press release for which we are further along in a diligence process. Without quantifying the pipeline size because so many of our initial indications are really for people exploring this option and probably are not yet the kinds of companies we would want to quantify as pipeline backlog of opportunities. I would just say that we are very pleased and busy. So the new people we’ve added are very actively engaged in telling our story and evaluating project opportunities. Now, timing wise, a very good question is, how long does it take to develop and close one of these projects? Given the critical nature of the assets to the operator and the importance of a very long term working relationship, it takes four to six months to bring one of these transactions to fruition. We would expect to be able to close one to two more through the end of 2013 and look for that kind of a pace going forward.
Craig Mailman – KeyBanc Capital Markets : Okay. And then just looking at $30 million of liquidity, probably is that closer to $50 million of dry powder depending on where you want your leverage tract to be?
David J. Schulte: If you include leverage targets, it’s closer to $100 million of capability with available leverage on top of the liquidity that we have without exceeding our targets.
Craig Mailman – KeyBanc Capital Markets : Okay.
David J. Schulte: That doesn’t count co-investment capital or new equity oriented capital that we could raise as well.
Craig Mailman – KeyBanc Capital Markets : Right. And it seems like most of what you are looking at now would be in conjunction with a partner, or you guys looking to take some of the step down on your own?
David J. Schulte: If it’s a $100 million or less I think we like to be capable of executing that on our own, but we are very comfortable with our partner at Pru and are working on transactions of multiple sizes with them and I wouldn’t at this point handicap the probability the either side of the size range, just to say that we are capable of executing in the sizes we’ve described either alone or with Pru.
Craig Mailman – KeyBanc Capital Markets : Okay. And then just lastly, where are you guys on the private letter ruling for the Pinedale LGS?
David J. Schulte: Well, we did indicate that we’re willing to – we’re anticipating filing a letter ruling and we have had a meeting with the IRS and are preparing our letter ruling request. But just to clarify, we have a legal opinion that the assets are REIT-qualifying and what we’re trying to confirm with this service are the edges of where the assets we have are confirmed within the scope of our opinions. So it’s really marginal information we’re seeking from the IRS, not confirmation that the assets we acquired in primarily REIT qualified, but we’ll certainly announce that later when it’s received.
Craig Mailman – KeyBanc Capital Markets : Perfect thanks.
David J. Schulte: Yes.
Operator: Thank you. Our next question comes from the line of Gab Moreen with Bank of America Merrill Lynch. Please proceed with your question.
Gabriel P. Moreen – Bank of America Merrill Lynch: Good morning everyone. Question in terms of I guess sourcing additional debt, in terms of the $20 million facility considering the comments you've just made David about having capability to go to $100 million on additional debt, are you looking to I guess try to procure additional revolver capacity once you have an announced deal, so it will sort of be a coincidental timing or did you try to get something more for this to go around with the $20 million?
David J. Schulte: Gabe, we believe the assets that we would acquire will be capable of sustaining additional debt on their own, plus we have the ability to potentially do a preferred if that was available given the size of the transaction, which will be indebtedness in our calculation but not something we’d lined up in advance. So the leverage target that I gave you included the asset specific leverage capability as well as raising additional capital markets leverage.
Gabriel P. Moreen – Bank of America Merrill Lynch: Got it. And then I guess in terms of kind of the biggest push back you're getting from counterparties right now that they want to do deals with you, are there any kind of sticking points that have come up or is it really just a matter of timing in kind of getting all your I’s dotted and your T’s crossed?
David J. Schulte: Well, I think it's more of the timing getting the I’s dotted and the T’s crossed. There is a better way of characterizing it, and the push back on the front-end of our pipeline is just explaining how this capital formation activity would effect the balance sheet or their income statement, so that they can be comfortable with the alternative to traditional debt or equity capital raise that they might do. So there is a lot of front-end work explaining it and then letting them evaluated it, but at this point I think we’re down to also having some contracts that are closer to fruition.
Gabriel P. Moreen – Bank of America Merrill Lynch: Okay. Good luck, thanks, Dave.
David J. Schulte: Welcome.
Operator: Thank you. The next question comes from the line of Selman Akyol with Stifel. Please proceed with your question.
Selman Akyol – Stifel, Nicolaus & Company, Inc : Thank you. Good morning.
David J. Schulte: Good morning.
Selman Akyol – Stifel, Nicolaus & Company, Inc : Couple of quick questions if I may, do you have the volumes at Pinedale how you have potential to grow with them?
David J. Schulte: We monitor the volumes, but we're not disclosing them and we won't start worrying about their volumes until 2014 as far a comparison to the baseline. So some will expect us to start focusing on whether we think we will have volume based growth or escalator based growth later in this year, and we internally just evaluate escalator based growth as the reliable source of growth and hope for better.
Selman Akyol – Stifel, Nicolaus & Company, Inc : Okay, great. And then if I understood correctly from your press release, I guess Arc didn't throw off cash this quarter, but VantaCore did. Is there any thoughts on future timing for Arc?
David J. Schulte: Arc’s Board authorized the company last year to retain cash for acquisition growth and they did significantly deploy that capital with accretive, we believe value enhancing acquisitions during the quarter and their pipeline is also robust and we’re very satisfied with them retaining capital for growth through the reminder of 2013.
Selman Akyol – Stifel, Nicolaus & Company, Inc : Okay, great. And then also with the liquidation of the MLPs, should we be reading anything into that, that you are closer to having an acquisition that not given that you’ve raised cash as opposed to continuing to draw income from those? 
David J. Schulte: There are only $4 million left of MLPs and we think as much as anything it was constructed for us to take an opportunity to complete our liquidation and draw to close that portion of our history. So I would not read anything else much into it for now.
Selman Akyol – Stifel, Nicolaus & Company, Inc : Okay, great. And then last question for me is I looked your press release and I compared to the Q – it (inaudible), I’m wondering if there’s something on the AFFO, those numbers seem to be different. What was filed up, versus what you guys put in your press release?
David J. Schulte: Selman let’s go with the Q and (inaudible) press release numbers are either rounding or other changes that are not material.
Selman Akyol – Stifel, Nicolaus & Company, Inc : Okay.
David J. Schulte: Thank you.
Selman Akyol – Stifel, Nicolaus & Company, Inc : Appreciate it, thanks.
Operator: Thank you. And it appears there are no further questions at this time, I would like to turn the floor back over to Mr. Schulte for any concluding remarks.
David J. Schulte: Thank you. Just as a reminder, our Annual Shareholders Meeting is coming up, May 29, at 2:00 pm. We will not be using that as a conference call opportunity, because of the timing of our Qs. So we’ll only be voting our matters in the proxy at that meeting and we look forward to continuing to executing our strategy and talking to you net quarter. Thank you very much everyone.